Luis Gallego: Thank you very much. Good morning. With me today is Nicholas Cadbury, CFO; and each of the OpCo CEOs, Adam, Sean, David and Lynne here in Waterside; and Javier and Marco in Spain. Before starting this presentation, I would like to express IAG's solidarity with the people of Ukraine. All of our rating companies have been active in supporting those affected in many different ways. Some examples, IAG Cargo has donated the capacity to fly 125 tons of aid for Ukraine. British Airways has donated almost £300,000 as of the end of mid-April, mainly from humble donations from customers. BA has also provided flights to its workers from several charities and has donated 92,000 in-flight products, such as blankets. Iberia and Vueling have transported 2,400 refugees to Spain on a scheduled flight and on fixed charter flight. Aer Lingus has raised €250,000 onboard flights and donated to UNICEF. For the first quarter, we continue to recover capacity, flying 65% of 2019 levels, up from 58% in the fourth quarter of 2021. We reported a pre-exceptional operating loss for the quarter of €754 million, which was in line with our expectation and significantly better than a loss of €1.1 billion a year ago. We have expected the loss to be significantly worse than the €305 million loss in the fourth quarter of 2021 because of normal seasonality, the impact of Omicron on bookings for travel in January and February and the costs associated with the ramp-up of capacity for the summer. Iberia, IAG Cargo and IAG Loyalty continued to outperform within the group in terms of profit and cash contribution. And Aer Lingus, BA and Vueling are recovering in line with expectations. The effect of Omicron was largely over by the middle of February. Liquidity remains strong, rising to €12.4 billion by the end of March, our highest ever level. And booking activity for Easter and this summer has been very strong, boosting deferred revenue. Net debt ended the quarter at €11.6 billion, which was relatively flat compared to the end of 2021. And demand is strong with bookings running at a rate of around 90% of 2019 levels over the last 2 months, which is an increase from the 85% rate when we last presented to you at the end of February. Capacity has stepped up from around 62% in January and February to 69% in March and 77% in April. And  have also increased from 65% in January to 78% in March, demonstrating a strong momentum. Premium leisure bookings are particularly strong, and demand on North Atlantic routes continues to recover. Overall, for 2022, we plan capacity to be around 80% of 2019 levels. This is slightly lower than 85% previously planned because British Airways has slightly moderated its capacity this summer in order to enable operational resilience at Heathrow. Most of the reduction in BA's planned capacity is on so-called routes for operational reasons and on Asia services due to the COVID travel restrictions. For the second quarter, we plan to operate capacity at 80% of 2019 levels, rising to 85% in the third quarter. We plan to restore a full network on North Atlantic routes by third quarter, but with a slightly lower capacity of 95% compared to 2019. And in terms of the outlook, we continue to expect to be profitable at the operating level from the second quarter. We expect also to be profitable for the full year 2022, despite a significant increase in the price of jet fuel since the last time that we reported. We continue to expect operating cash flow to be significantly positive this year. And now I will hand over to Nicholas for the financial presentation.
Nicholas Cadbury: Thank you, Luis, and good morning, everyone. I'm really pleased to be here for my -- in my first 6 weeks for my first IAG quarterly results. This is a really exciting time to be joining the airline sector as it continues its journey of recovery. In the quarter, we saw that the continuing easing of government travel restrictions, particularly in the U.K., resulting in a significant improvement in travel demand. In particular, we saw a good steady recovery in business travel while premium leisure continues its strong trajectory. And so far, we have seen no noticeable impact on demand from the war in the Ukraine. Luis will take you through the demand outlook later on in the presentation. On the top left of this graph, you can see how we have continued adding capacity. And we flew over 80 -- 65% of 2019 levels, up nearly 7% on Q4, which I'm pleased to say was in line with the guidance that we gave you at the year-end. The first 2 months of the quarter were heavily impacted by Omicron, and we exited March with a capacity of 69% and operated around 77% in April compared to 2019. The top right of the slide shows the evolution of our operating results for the last 5 quarters. The losses in Q1 of €754 million were due to the normal seasonality; the impact of Omicron in January and February, which particularly reduced business demand; and the cost of ramping up the business from a low base. And as mentioned, this was partly offset by the continuing strong performance of premium leisure and the solid return of business traffic. Moving on to debt in the bottom left chart. Net debt was broadly flat at €11.6 billion with an operating cash inflow as the business recovered, with positive working capital and customers booking for quarter periods increasing, offsetting our capital spend. Gross debt was €19.8 billion, an increase of €170 million compared to the end of 2021, which I'll come and talk about in a few slides time. Turning to liquidity. In the bottom right, our position remains very strong, increasing to €12.4 billion, including €8.2 billion of cash. So the liquidity level is the highest since the start of the pandemic. Moving on to the next slide, we can see the operating profit performance in more detail. As in the previous quarters, we provided both the comparison versus last year and versus 2019. The increasing demand drove our passenger revenue up to €2.7 billion. This was driven by improvements in our passenger unit revenue now at 88% of the 2009 level. Yields only 1% off. And our load factor continuing to improve quarter-on-quarter to 8 -- 72.2%. Cargo revenue was extremely strong as it continued to benefit from global supply chain disruption, increasing 57% compared to 2019, the best-ever quarter 1 performance. The positive cargo performance continues to be driven by yields, with cargo volumes still down around 30% versus pre-pandemic levels. Likewise, IAG Loyalty has been consistently one of the best performing parts of our business throughout the pandemic and had another strong performance this quarter. Other components of other revenue also had a good quarter, with both BA Holidays and Iberia's handling and MRO business continuing to improve and make a positive contribution. Moving on to costs. Our overall costs reflect the increase in capacity, ramp-up costs and the higher fuel rates. Ramp-up costs for the group were €70 million in the quarter as our airlines prepared for the beginning of the summer operations. We'll see an increase in capacity from 65% this quarter to 80% in Q2 and 85% in Q3. These additional costs were mainly employee and engineering costs as we prepared our crews and readied our aircraft to fly. Employee costs increased as we staffed up to the Q1 flying program and for training and preparation ahead of the summer flying season. We also had only minimal use of government wage support and related schemes in the quarter compared to around €180 million this time last year. The fuel cost increase also reflected the added capacity, partly offset by the reduction in cargo-only flights to 287 flights in the quarter compared to around 1,300 a year ago. Additionally, it reflects the increase in fuel prices compared to last year. Commodity spot prices were up over 80% versus Q1 2021, although the impact of hedging limited the increase in our effective price in the quarter to around 20% versus 2021. On this page, you can see the quarterly performance of each airline compared against 2019. Starting with Aer Lingus. Aer Lingus was one of the most impacted IAG airlines during the pandemic. Ireland has seen a slower relaxation of the COVID restrictions in other countries we operate from, with restrictions not fully removed until a few weeks ago before the end of the quarter at the beginning of March. You can see this impact in its traffic capacity and low statistics at the bottom of this page, with a particularly slow recovery in its North Atlantic business as a stronger work-from-home culture in Ireland still exists. Aer Lingus did however start to rebuild capacity during the quarter, preparing for the summer, and saw a good demand performance for leisure and sun destinations. British Airways performance in quarter 1 reflected the Omicron spike in the U.K. in January and February, with available seat kilometers at 57% of 2019 level, but still triple the level of last year's quarter 1. Since the U.K. government removed all travel restrictions in March, we started to see a very good improvement in passenger revenue for BA. Available seat kilometers reached 61% in 2019 in March and around 67% in April. Cargo was particularly strong in BA, with cargo revenues increasing 63%. And as mentioned earlier, BA Holidays also had a good quarter. The airline's performance was negatively impacted by the well-publicized disruptions at Heathrow, with a total impact of the disruption at around €50 million in the quarter, impacting both revenues and costs. Iberia's performance was again the strongest airline in the group. The airline benefited from the strong domestic travel and customers visiting friends and relatives in South America, enabling them to reach 85% of 2019 capacity. March capacity was also 85% of 2019 levels, and April will increase to around 88%. And as mentioned, it also had a good quarter in Iberia's handling and MRO business. Iberia managed its costs very well in the quarter, which were down in line with capacity. This was achieved by continuous cost control, higher aircraft utilization and better fuel efficiency through new fleet mix management. Last, but definitely not least, Vueling. Vueling continued its capacity recovery to 73% in the quarter and achieved 80% in March and close to 100% in April, with good recovery in the domestic market, especially in the Canaries. The new routes from Orly and Gatwick performed as we had expected. And costs in Vueling, similar to BA, reflect the associated costs of repairing for a full restoration of their network for a busy summer season. This slide -- next slide. This slide shows our liquidity. And as we have already seen, it is in a strong position at €12.4 billion. Despite the operating losses, we benefited from the positive working capital from the increasing momentum of customers booking the next quarter's flights and as the turnover with our suppliers grew. This helped offset our capital spend and increased our cash balance by €250 million. We will also continue to be successful in financing the business, with Aer Lingus agreeing a new Ireland strategic investment fund facility for an additional €200 million, which remains undrawn. And early in Q2, Iberia has also been successful in agreeing its first sustainability linked double ETC for $461 million. This was -- we'll finance 5 aircraft that were delivered to the airline in Q1. Cash balance at the end of April continues to be very strong, thanks to the last financing together with strong forward bookings. This slide shows our net debt position, which has increased €74 million despite an adverse noncash movement of around €400 million relating to FX and lease adjustments. The improvement, as we have already covered, was due to our better operating cash generation, especially working capital. And lastly for me, this slide shows our hedging position on fuel. We currently have 78% of our expected consumption for Q2, hedged at around 65% for the second half of 2022. We also have around 25% of our fuel hedge for 2023. This quarter, we have changed the way we showed you this data. Previously, we used to use the spot rate price as the reference. However, on the top line, we are now showing the market forward pricing curve for jet fuel. Given the variance across the future quarters, we think this better reflects the potential future impact on our fuel bill. Based on the scenario, we have shown in the table the blended price to us, post fuel and FX hedging, would be between $570 per ton and 950 million -- $950 per ton in 2022. So in conclusion, Q1 performance was as we expected despite a number of headwinds in the quarter. We've seen our revenue metrics all move in the right direction and seeing further improvements after the quarter end. We have a very strong liquidity position and have been able to successfully raise new finance during and after the quarter. This forward momentum will put us in a good position as we move into profitability from Q2. I will leave you with Luis now that we'll move -- tell you more about the year ahead.
Luis Gallego: Thanks, Nicholas. As you can see in the graph in the next slide, the  has continued to strengthen. When we last show this chart of forward bookings as of 20th February, they were running at average rates of 85% of 2019 level. For the last 5 weeks, the run rate has averaged at over 90% and has been over 100% in the last 2 weeks. The Spanish domestic bookings remained the strongest at around 110% of 2019 level. European short haul is also strong at slightly over 95%. Long haul continues to lag, but it's still strong at around 75%. And bear in mind that many long-haul markets remain shut as most of Asia. Within long haul, our largest market is North Atlantic. On the left-hand side, we show the total bookings of North Atlantic routes since the start of 2021. And the chart on the right shows point-of-sale North America. Both charts show the key border opening days to fully vaccinated visitors in 2021. Bookings increased significantly when the EU opened to North American travelers in May last year and when the U.K. opened to visitors in July. When the U.S. announced the opening of its border in September, there was again an increase in bookings to almost 100% of 2019 levels. The U.K. is still not fully unrestricted because all travelers must undertake a COVID test on the day before travel, which represents a risk especially for U.S. travelers. Hopefully, this testing requirement will be lifted very soon. You can also clearly see the impact of Omicron at the end of 2021 and the recovery since then. We have received many questions from investors and analysts about the possible impact of bookings of the war in Ukraine, which has started on 24th of February. The day before, we reported full year 2021 result. And in the last 10 weeks since the war started, North Atlantic and point-of-sale North America have both averaged 85% of 2019 levels compared to 64% in the first 7 weeks of 2022 prior to the war starting. It might be early days, but so far, there is no evidence that the war in Ukraine has had an impact on bookings on either side of the Atlantic. The next slide, we have shown before. It shows premium class leisure and premium class business loan revenue for VA and Iberia compared to 2019 since the start of 2021 up to and including March this year. As a reminder, our definition of premium class is first on business class and excludes premium economy. In the upper chart, the light blue line for VA is premium leisure and the dark blue line, premium business. For Iberia, the yellow line is premium leisure and the purple line, premium business. The main change since we last reported is the recovery of premium business travel revenue. For BA, business product revenue has recovered from 20% of 2019 in January to 45% in March and ahead of the pre-Omicron level of 20% last November. For Iberia, it's a very similar story, although it continues to be a hit of BA, up 60% of 2019 levels in March compared to 40% in January. The partial recovery in business travel is consistent with the return of many companies to the office, particularly in London, Madrid and the U.S. Banking and finance have recovered the most this year, with some investment banks back to almost 100% of 2019 levels on North Atlantic routes. In April, BA's business channel bookings of North Atlantic routes have recovered to 90% of 2019 levels. Technology and pharma sectors have recovered the least, while small- and medium-sized businesses have recovered the most. Premium leisure continues to outperform business, having returned to 80% in March for BA and 100% for Iberia. For BA, the strongest premium leisure routes are to the Caribbean, Africa, Middle East and the Indian subcontinent, but North America is rapidly catching up. For Iberia domestic and Europe are the strongest route areas for premium leisure. And unfortunately, the increase in pent-up demand and the ramp-up of capacity have brought operational challenges affecting British Airways at Heathrow in February and March. The original plan for BA was to scale up at Heathrow to 100% of 2019 flights by the third quarter of this year. This is the largest scale ramp-up ever undertaken by BA. BA anticipated this and started a major recruitment effort in October of 2021. So far, BA has received 39,000 applications for positions. Of this, 4,800 have passed their assessment, 3,100 are currently in referencing and 1,600 have started work. There have been 3 key operational challenges: people resourcing, airport capacity constraints and unstable IP systems. First, let's talk about people resourcing. Absence is abnormally high among existing employees in all functions due to the increase in Omicron infection, which is an issue that all companies globally are having to deal with. In terms of recruitment, most of the vacancies and most of the applications are for cabin crew positions. There have been a few issues. We are recruiting cabin crew because of the attractions of BA brand and global network. The main recruitment issue has been for ground operations due to the tight recruitment market for this position across the industry and particularly in the U.K. Converting applications into new recruits is another bottleneck and has been heavily impacted by the referencing process, in particular obtaining airside passes for cabin crew and ground operations recruit. Average referencing process time has increased by 20% to 103 days due to onerous government regulations that require a full reference of the last 5 years' employment history and personal references for any gap in employment. COVID has made this more difficult because more people have had temporary jobs with many gaps over the last 2 years, requiring a higher referencing workload and, therefore, delay. Second, airport capacity constraints. When the pandemic started, Heathrow closed Terminal 3 and 4, requiring those airlines affected to relocate to Terminals 2 and 5. American Airlines and Qatar Airways moved to Terminal 5. American Airlines moved back some of its services to Terminal 3 when it reopened last year, but many services remain in Terminal 5. Terminal 4 remains closed until mid-June. The result is that BA has 25% fewer check-in desks and less access to the rest of the terminal infrastructure than before COVID. Terminal capacity has also been reduced by insufficient security and border force staff, who are also suffering from recruitment and referencing issues. The long security and immigration queues are a function of Heathrow airport planning according to unrealistically low passenger volume forecast. For example, Heathrow's forecast for the second quarter that we are now, made last December, was for 11.1 million passengers or 53% of 2019 levels. Last week, it raised its forecast for the second quarter by more than 1/3 to 14.9 million, 72% of 2019. This is despite BA publicly stating that it has been aiming for a 90% operation this summer since early November last year, including 100% of flights at Heathrow. To compound matters, transaction times are taking at the gate have increased, driven by the multitude of different COVID restrictions and vaccine requirements by country. And third, unstable IT systems. BA had IT events on 3 occasions in February and March as a result of selected data center and network hardware issues. British Airways has taken many actions to deal with these issues and build operational resilience in the short term, but also over the long term. And I assume that Sean can provide you later more detail in the Q&A session. First, a multifunctional special task for has been set up to focus on the main bottlenecks and causes of the disruption. Second, BA has made many scheduling changes, resulting in the planned cancellation of around 60 departures per day and then declining significantly over the summer. To put this in perspective, BA typically operates 270 short-haul and 70 long-haul departures from Heathrow every day. Overall cancellations are expected to be around 10% of flights at Heathrow between March and the end of October. London Gatwick and London City are unaffected. Cancellations are now planned weeks in advance, and customers informed at the time of the cancellation. There were unplanned cancellations only during the first few days of this ration at the end of March. But now there are very few, if any, unplanned cancellations on the day, and mostly for some technical reasons. 75% of cancellations are focused on short-haul flights, while most long-haul flights are being maintained. BA has managed to accommodate 80% to 85% of affected passengers to arrive other destination within 24 hours of their scheduled arrival. To minimize planned cancellations, BA is -- was leasing 10 narrowbody aircraft this summer, some of them coming from the rest of the airlines of the group, such as Iberia Plus and others from alliance partner such as Finnair. American Airlines is operating one of BA's twice daily flights to Miami. Third, BA is boosting resourcing where it come in addition to the recruitment efforts that I have talked about. For example, many head office staff have been redeployed to help with the recruiting and referencing. Also, BA will be using temporary cabin crew sourced from Spain on 6-month contract. These are experienced and licensed cabin crew introduced to BA by Iberia from their pool of seasonal crew. Referencing is being speeded up using automation and a new portal. Recent changes in government regulation now allow new recruits to start training even before the referencing has been completed. Fourth, airport terminal capacity constraints are being overcome. The layout of Terminal 5 is being rearranged to make more efficient use of space for check-in. The number of self-service backdrops are being doubled. New recruits awaiting completion of references, such as cabin crew, are being assigned to land site tasks, such as assisting passengers in the terminal. Qatar Airways will move out of Terminal 5 in mid-June when Terminal 4 reopens. BA is also making changes for the long term. In terms of management, the operations structure is being split into technical and operations in order to enable more focus. In terms of processes, BA is leveraging best practices across the group at Iberia and Vueling, who have a strong operational and punctuality metrics. The aim is to transform operations using these best practices and supported by software and data analytics to drive better decision-making. Finally, IT is a core pillar of BA's transformation program. We are continuing to invest in IT, and we are accelerating the replacement of legacy IT systems and migration to the cloud. As I mentioned at the start of my presentation, we have moderated our plan capacity for 2022 from 85% to 80% of 2019 levels. This is entirely due to BA reducing its schedule to build operational resilience this summer and reducing planned Asian services. We now expect BA to fly 74% of its 2019 level of capacity this year compared to 80% before. And finally, the conclusions. And the most important point is that demand is recovering strongly, in particular leisure demand, both short haul and long haul. Business travel demand is lagging, but there has been a strong increase since the start of the year. Demand on North Atlantic routes is now back to at least 80% of 2019 levels. And we plan a fully restored network in terms of destination and 95% of 2019 capacity by the third quarter. Turning to profitability. We expect to be profitable from the second quarter and to be profitable at the operating level for 2022 as a whole. We also expect operating cash flow to be significantly positive in 2022. Finally, a reminder about our ESG day on 20 of May, which will be an in-person and virtual event. If you would like to attend, please contact Investor Relations. Nicholas and I look forward to see many of you there. And now we are ready for the Q&A.
Operator:  The first question comes from the line of Jaime Rowbotham from Deutsche Bank.
Jaime Rowbotham : Welcome, Nicholas. Two questions from me. The first, I'll take Luis on his suggestion and ask Sean a bit more about BA. Sean, on the 25th of Feb, the full year results, you talked about the better BA program trying to deliver a more consistent service proposition, modernizing contact centers, increasing resources. Clearly, this latest period of challenge linked to staff and infrastructure issues has come to rather unfortunate time, a bit early in the better BA rollout for it to make a difference. Could you perhaps just give us an update on how you see things currently and how quickly you might be able to turn things around? And my second question. Clearly, pleased to see the positive commentary on forward bookings. And I just wondered, how much visibility do you have now in terms of pricing and load factors on the 85% of precrisis capacity lined up for Q3? And linked to that, obviously, there are lots of macroeconomic concerns right now: rising inflation, recessionary fears. Apologies for the highly predictable question for the new CFO. Clearly, it's early days. But Nicholas, do you have any initial thoughts on the amount of financial leverage that the group is carrying against that backdrop?
Sean Doyle: Okay. Maybe if I go first. Yes. I cannot hear what you're saying about the kind of message we've been putting down about the direction we want to take BA and challenges we've had in the short term. And I don't underestimate obviously the challenges that we're currently going through. But the question we would ask ourselves is, are we always laying solid foundations? And I think the foundations we are laying are very solid. Luis spoke about the modernization of our IT platform. That's underway. It's very exciting. A lot of our core customer and operational systems will be moved to state-of-the-art capabilities in the next 2 years and will be based in cloud-based infrastructure. Our data centers will also migrate over the next 18 months. So I think the technology platform we're laying is underway. The investment is significant, and that's in progress. If I look at sort of rebuilding the airline. We were the first airline to go out recruiting in October. We were the first airline to bring everybody back to work after the government eased restrictions, and we did that in November. The reality of what we've encountered is a labor market, which is tight, and referencing processes, which are more onerous. But we continue to navigate through that. We have more people in the business this year in terms of the new recruits than we've ever had, almost double. We have 1,600 people operational, and we continue to improve the speed at which we get people through those pipelines. And if I look at certain things we're doing to improve performance, we have made changes to our organizational structure. I think that is having an effect. If I look at the last 3 weeks, we've seen a step change in operational performance despite the fact that we're operating a bigger program. If I think about the other things we're committing to, I think in terms of being a better BA, they will stand the test of time. We want to stand for an airline that differentiates and offers a premium experience. We want to be a colleague-centric airline because that's important to deliver our service proposition. Sustainability is still as relevant as it's ever been. And the other things that we do focus on in terms of efficient execution and delivering the kind of performance that we can deliver in terms of financial metrics out of BA, I think, are very compelling. But yes, it's been a very challenging 3 months. A number of the issues are external that we have got a grapple with, but also the internal issues that we're very determined to fix.
Luis Gallego: Okay. About the second question, I think it's important that -- to say the intake that we are coming right now. For example, in the case of BA, the total intake that we are having are around 88% of the intake that we have in 2019. When we look at the different point of sales, North America is above 100% what we were coming in 2019. U.K. is close to 100%. And what is lagging behind is Europe and the rest of the world. If we see by channel, leisure channel total intake, around 98% of the intakes that we have in 2019. And business channels, around 67%. Again, U.K. point of sale and North America point of sale, they are doing very well. And if we see also the recovery of business channels, the corporate channel is around 60% the levels that we have in 2019. On business channel, this is the channel more oriented to small and medium enterprises, it's around 80%. And other business channels are around 170% of 2019. So business traffic is coming back. We see that. For example, banking finance, the levels are around 65% the levels that we had in 2019. That's a sector that is very important for us. So the main thing from a point of view is that when we see long-haul premium and long-haul non-premium, the yield that we are having are above the levels that we have in 2019. Even with this lack of corporate traffic, we can compensate with the premium leisure. And the premium leisure, the yield is very high. And the only traffic that is still lagging behind is the short haul, where still the yield is close to the yield that we had in 2019, but we still don't have the load factor that we had before. Maybe, Nicholas, you can comment on the last question?
Nicholas Cadbury: Yes. Jaime, because you're allowed to ask 2 questions, I don't think I need to answer the leverage one because it's your third question. But I think I might again from someone else, so I think I'll answer it. So just in terms of, I guess, the way I look at it, where are we today? We've got gross debt of €19 billion. And consensus has that remaining relatively flat over the next few years. But we're in a good position from a liquidity and cash. We've got €8 billion of cash, and we've got €12 billion of liquidity. And we've recently been able to do a EEE CT credit in the few weeks that I've been here, which was well oversubscribed. So what I can see is where we are today, it's not stopping us from actually doing anything that we want to do today, which is a real positive overall. Do we need to deleverage? I think it would be -- it's a good thing to deleverage. It would be helpful to strengthen the company and for all its stakeholders overall. We're in a volatile sector. We've got rising interest rates. And I think it would be a good thing to improve our TSR over the medium to long term overall. But of course, it's a balance between making sure we spend our capital in the right way, we get the deleveraging right and, of course, we get back to paying a dividend when we can as well. I think when I look at it in the near term, I think it would be a mistake to sacrifice our capital spend for deleveraging, purely because I think spending the money on refleeting, particularly when there are such attractive benefits from our -- for the new fleets coming in for efficiency and for sustainability, I think that would be a mistake to sacrifice that because that gives us really long-term kind of strength in the business overall. So as you know, as a company, when we're in recovery, we're very strong in terms of cash generation. We will continue to have a real disciplined capital allocation policy, which I think is a real strength of IAG, a real skill for the IAG kind of holding company. And that will -- both those two together will make sure that we do deleverage. It may not be in the next couple of years though, but we will deleverage. But in the meantime, while we're getting there, we will make sure that we maintain a high level of liquidity in the meantime. So I hope that answer your question, Jaime.
Operator: The next question comes from the line of Savi Syth from Raymond James.
Savi Syth: Just first question. Just curious about the paring back in 2Q, 3Q capacity, if that was done where costs were set up for a higher level of flying. Like said in another way, do you expect a lot of cost inefficiencies and/or perhaps more ramp-up costs here yet over the summer? And then for my second question, I was wondering if you could talk about the ability of aircraft OEMs to deliver aircraft on time, if that has improved? And any early thoughts on kind of plans for 2023, and what that might mean for CapEx?
Nicholas Cadbury: Ramp-up costs, we talked about ramp-up costs for Q1 of around about €70 million, which we said we were split between mainly employee costs as we're getting ready for training. I think there'll be a small amount of ramp-up costs in Q2, but I don't think it will be anywhere near that kind of level at the moment. So...
Luis Gallego: Okay. About the fleet, you know that we delayed the delivery of the aircraft that we had planned because of the COVID situation. But now we are starting to receive all these aircraft. And that's the reason of the amount of CapEx that we have for this year and that we expect to have also for the following year. It's true that we have some delays in the deliveries of the 350s, but now they are coming. And the 787, they had also delay relate to several build quality issues. Recently, Boeing has communicated also the delay in the delivery of the 777X. So it's going to be delayed, minimum, I think, until 2025. That can have an impact in the CapEx for the company. But in principle, all the aircraft that we plan to have, we are going to receive. And the only thing we did during COVID was to move the deliveries to the right.
Savi Syth: Are you able to just -- following up on that, are you able to kind of give any color on -- is there any kind of guardrails on kind of a low and high in CapEx over the next few years? I know you want to invest in aircraft, and that's the right decision to make. I was just kind of wondering if there's a guardrail around what that CapEx spend could be.
Nicholas Cadbury: We’ve given guidance for this year. It’s €3.9 billion. And the delay, they don’t really impact that this year, that much to be kind of. So we’re still sticking with that overall. And if they do, we’ll update you as we go. But we expect that CapEx to be around about the same. Consensus for CapEx is around about – it’s quite a wide range, but it’s about €3.5 billion going forward for the next few years. And our intention is to try and spend that to – as we go. And so that’s probably the right level to be, if not a little bit higher, probably if we could, but to maintain the current level of CapEx as it is this year. But with the delays, it might be kind of closer to consensus.
Operator: The next question comes from the line of Alex Irving from Bernstein.
Alex Irving: Two for me, please. First of all, on labor. So you're pointing to resourcing as a focus area at the moment. How confident are you that you have enough people to operate the planned capacity for the summer? Or maybe put another way, how much absence would you be able to handle? My second question is on business travel. So really good to see the recovery here post-urban current to March and apparently strengthening trend beyond that. Do you think there is pent-up travel demand in here that fades? Or is it sustainable? Maybe where are you expecting business travel to get to relative to 2019 levels by the end of the year and into 2023?
Luis Gallego: Sean, you can answer the first one.
Sean Doyle: Yes. If I talk about the kind of actions we're taking on recruitment, I think the first thing is we have 39,000 people have applied, and we've made 1,500 of those operational. And I think a combination of what we're doing in terms of automation, the resources we're putting in and some of the changes the government have implemented through the laying of statutory instrument would allow us to get a lot more of the 4,000 people in referencing out into operational roles. So we are seeing a pickup in that pipeline. I also think we've got a very competitive package. We've got an aggressive recruitment campaign. We've got sign-on incentives. We've got referral incentive. And we're also bringing third-party support into our handling operation at Heathrow, which is coming out in April. We're seeing lower attrition than we were expecting. As COVID begins to recede, we're also seeing lower absence. And as well as actually taking the program down to be more aligned with our resources, we've also improved a lot of our operational processes to drive resilience. So we have actually in the way, we've designed the schedule, begun to de-peak some of the parts of the day that were driving some issues with the operation. Another variable, I think, that we also need to acknowledge is the wider airport capacity. And one of the variables driving the intervention we have made has been the fact that Heathrow only has 3 terminals open rather than 4. And you have got situations where we have 25% less desks, a lot more people using desks. And at peak times, all of the terminals in Heathrow haven't been able to process the capacity through that they would have planned. And I think that's a variable as well that we have derisked. So I think we're seeing momentum build in terms of people coming into the business. That's reflected in our capacity outlook and in the changes that we have made.
Luis Gallego: Okay. And about the second part of your question, is this pent-up demand sustainable? It’s difficult to say. We think that it’s going to continue, but COVID has changed the behavior of the customer. But what we see now is that there are new ways of working apart from the flexibility that the major part of the company they are offering to the workers. We see a lot of premium leisure, and we see people that they are combining leisure trips with the business trips because now it’s possible to work from different places. So we expect a growth in this type of traffic, and we consider that this is not going to be a bubble. But it’s difficult to predict what is going to be the future, to be honest.
Operator: The next question comes from the line of Carolina Dores from Morgan Stanley.
Carolina Dores: Two questions, promise. First one is, I do understand that this somewhat limited visibility on user load factors much beyond the next couple of months. But can you give us some guidance on where do you expect unit cost as fuel to be in 2022 compared to 2019? And my second question is on competition. So if I understood it correctly, a short-haul booking, it's lagging behind. Is this a market where you're seeing more competition, more pricing pressures given low-cost carriers ramping up more capacity?
Luis Gallego: Okay. So about the growth, what we said is that the aim that we have, and I think it's an ambitious aim, is to come back to the cash as shield that we had in 2019. In 2023, we said also that can -- we can have a delay until 2024. But we didn't give any guidance for 2022. We are reducing the cost, for sure, but we need to come back to the capacity that we were operating before. . And about the competition, yes, it's true that short haul is where we see more capacity during this summer. If you see the plans for, for example, Ryanair and Wizz Air and the capacity that we are planning to operate, it's going to be a factor that is going to be in some way more difficult to compete. But what we see also is that the leisure markets are working very well. I said also before that Spanish domestic market is one of the best that are -- right now. And what is lagging behind in some way is the traffic between cities because the lack of corporate traffic. Maybe, I don't know if -- Javier, do you want to add something about the Spanish domestic traffic?
Javier Sanchez-Prieto: Yes. Sure, Luis. Well, not much different to what you had just said. I mean it's -- we see that the traffic within the country still remains strong. We see also the islands board, the Balearic Islands and the Canary Islands relatively strong. And as you just pointed out, it is in the connections with Europe where we see that still the traffic is not as robust as in the other segments. Anyway, we have like also some visibility. And the summer, as you were saying and you were showing to -- in the presentation, we see the bookings in the past 5 weeks really, really strong. I don't know if, Marco, you can also deal with that. So...
Marco Sansavini: Maybe to give an additional color. In particular, the leisure segment in short and medium haul is supporting in this space. And that is also why we are confident that we can reach already at Vueling the 100% capacity versus 2019 already in Q2 and continue to develop in Q3 and forward. So that segment in particular, so the leisure segment in short and medium haul, is strong in Spain but also overall Europe.
Operator: The next question comes from the line of James Hollins from BNP Paribas.
James Hollins: Just following up on something you -- I think it might have been the previous CFO, but he said about unit revenue RASK going forward. I know airlines hate giving guidance. But my notes tell me that you had said expected RASK above 2019 by the summer across the group. I was wondering if you could comment on that still being the case and maybe that's actually improved on the lower capacity. And the second one is on Heathrow. Just wondering if you could get some sort of compensation from Heathrow due to their own issues and staffing, et cetera, and obviously some pretty ludicrous passenger numbers. And talking of ludicrous passenger numbers, I was wondering if you could give any update on your thoughts on H7 negotiations with Heathrow.
Luis Gallego: About the RASK, yes, I think March, we saw for the first time, for example, in British Airways, the revenues, they were higher to their capacity that we were operating. So the RASK was slightly positive. And if we compare with 2019, we see that trend for the rest of the year. So yes, we are positive. As I said before, the yield is very strong, and we are recovering all the load factor. We see the evolution in the different months. So we are very positive about this. About Heathrow, we are still talking to the CAA about the situation that we have there. We think that the numbers that Heathrow is putting on the table about the number of passengers are not right. And the main reason is, from our point of view, is because they want to have, in some way, identification of the charges that they want to put. But the numbers are not real because we see what's happening. We see our plans. We see the lack of resources and the number of people that we have at the airport. So we are trying to explain that the number must be based in real numbers. Also, it doesn't make sense that we have here in U.K., for example, the worst policy in regards to slot aviation. You know that we have the 70-30 rule. And if the government is considering that we need to operate 70% of the flight, I suppose that, that means that we are going to have around 70% of the passengers. And those are not the numbers that Heathrow is using to prepare the projection. I don't know, Sean, if you want to add anything else.
Sean Doyle: Yes. I think a couple of points to make. If you look at what Heathrow were saying in their latest update, they reckoned 52 million passengers this year. They were saying 45 million in November. Already in Q2, their numbers are wrong by about 30%. If you look at any scheduled forecast for Heathrow, you're looking at passenger numbers, which will be north of 70 million. And that means that there will be over collecting significantly versus what they should do if the forecast was correct, and I think the CAA need to acknowledge that pretty quickly. The second point I would make was Heathrow got a rap adjustment last year to get ready for this year. Yet Heathrow the only terminal -- the only airport actually in Europe that haven't opened up all their terminals by the start of the summer season. And I think, again, that's got to be acknowledged when the CAA comes with their final determination at the start of June. So I think the most important decision that we've got to make in relation to Heathrow is both the pricing level going forward for 2022, but more importantly, H7. And we think H7 volumes will be robust at Heathrow. I think we'll be recovered at the airport to 2019 levels by next year. And we think about the passenger projections and the position in relation to WACC, that we should see charges fall materially from what the CAA are saying today, but also actually start falling in real terms as well over the period of that regulation.
James Hollins: If I may just -- I mean, we will get on Heathrow coming out with these silly low numbers. But I mean, are they actively -- effectively forcing BA to reduce their capacity by this sort of belligerent approach to keeping staff low? Or I mean, you've been very honest in funding up. You've got your own issues. But I mean, how bad are their issues, I guess, is what I'm saying?
Sean Doyle: But – I think that would be for Heathrow to comment. We have T4 opening up in mid-June. Really, it should have been opened up at the start of April. And I think we’ve got to kind of look at the wider ecosystem around Heathrow. And the two things. One, be prepared for a rebound, but also, I think, work in a synchronized way around the operational processes there. And I think they are the kind of two things that we need to focus on. But it’s obvious to me that, we were saying all along in November and December, the demand would recover. Despite Omicron, it’s continued to recover, and it’s unfortunate that the terminal capacity isn’t ready.
Operator: The next question comes from the line of Stephen Furlong from Davy.
Stephen Furlong: Welcome, Nicholas. Right. Can I just go back to just 1 or 2 questions asked before? Sorry to ask again about the deleveraging or not question. And I know -- and yes, the operating cash flows are obviously going to be significantly positive in 2022 and onwards. When I think of the lease outflows, IFRS ones and then the pension deficit coming, obviously, the CapEx you mentioned. I don't know maybe there's more restructuring. I guess when you model out further down for deleveraging, is it really the case that the EBITDA kind of has to be back to kind of 2019 levels before that really starts making a dent in that? So that's kind of the first question. And then second question, just on short-haul yields. Appreciate that there's more competition. I was just wondering, I mean, obviously, the comps are a bit easier last year with the U.K. traffic light system that's kind of making it difficult, whereas Europe was a little bit more open in the summer. And your competitors, certainly Air France and Lufthansa, are pointing out strong yields. So I'm just wondering, is it just competition? Or is it different between BA, Iberia and Vueling? Maybe Vueling is doing well at Orly, for example. So you just might talk about those 2 topics.
Nicholas Cadbury: Just getting -- just talking about the deleveraging overall. I guess it's a mixture of the kind of where you are, your phasing of your capital as well in terms of where that is as well. And I think, particularly if you look back over the last 3 years, there was quite a lot of deferred or delayed capital and even going prior to that actually while we were had the kind of 747s in the air. Perhaps our capital wasn't probably at the kind of -- what it should have been the kind of run rate. So I think we've got a few years ahead of us where it's going to be at a higher level. So you probably do need to be closer up towards the kind of EBITDA as we were doing in the future. I don't know yet though, Stephen, if it has to be actually at the EBITDA level. So maybe I can answer that in a few weeks' time or a few months' time going forward. So...
Luis Gallego: And about the second question, maybe it's better that Sean, Lynne, Marco and Javier explain what you are seeing in the yield in the short haul.
Sean Doyle: Yes. I think, overall, the -- as Luis said, the yields turn marginally positive in March, and I think that momentum continued as we look into the summer. And what we do see in BA, a bit akin to maybe what Javier was talking about earlier, is the leisure markets over the summer are very strong. And when we look at an operation like Euroflyer, the CapEx, which we set up, and that's flying primarily to leisure. I think the revenue intakes are ahead of our expectations, which shows the kind of strong desire for people to get away and have a holiday. I think what we have seen is the city-to-city traffic. It has been a bit slower to recover. But I think the trends we see in corporate traffic are encouraging for that segment because we have seen significant momentum build over the recent weeks under the old corporate segments. Banking and finance are probably leading that recovery, but we see sectors like pharma and IT begin to pick up as well. And I think if that momentum carries on, we would expect to see that have a positive impact on the city-to-city breaks. But overall, I think across our network, we're encouraged that we rebuild long haul as well. A lot of our flow traffic on to short haul will drive utilization and load factors up. And we're encouraged by the pricing environment across the long-haul markets that flow on to the short haul network.
Luis Gallego: Thanks, Sean.
Lynne Embleton: Yes. So I can maybe add some perspective here. The -- similar to what Sean's seeing, the leisure bookings are incredibly strong to the usual hot leisure destinations in the Med, Canaries and so forth. And we're really, really pleased with how the bookings and the yields are going there, where we also see difficulties as in the cities from a leisure perspective and importantly also from a business perspective. . I think the place where Ireland and Aer Lingus started a bit from the trends elsewhere in the group is on the rebound of business traffic, which isn't surprising because the lockdowns have lasted longer. So restrictions have lasted longer, and we're not yet seeing the funds in the -- in Ireland in terms of return to work and offer activity that we're seeing elsewhere in Europe. So I think we're just wanting to design this in terms of more recovery than many of the markets. So we're really pleased with the desire for the average to travel and get out their own leisure.
Luis Gallego: Thank you, Lynne. Marco?
Marco Sansavini: Yes. Maybe just confirming, because at the end, it's a similar perspective. Of course, we are more focused just on the leisure flows. So similar to what Sean and Lynne were commenting, the leisure part is the part that is really supporting the evolution for the months to come. And we do see the yields, for instance, for the month of July and August at the moment ahead of 2019. And I have to say that we are pleased to see that the same developments appear also very clearly in our new London Gatwick and -- for the additional operations. So that is throughout the network and not only in Spain.
Luis Gallego: Thank you. Javier, please?
Javier Sanchez-Prieto: Well, maybe to add a bit of color as – on the traffic. As Marco was saying and the rest of the OpCo CEOs, the demand is strong. The deals are like healthy in leisure. We are seeing the point-to-point, let’s say, business traffic in – that is the most affected into Europe. However, we are seeing also a good performance on the long-haul traffic. As Luis pointed out on his presentation, we see the forward bookings, particularly in the last 5, 6, weeks, very strong in premium leisure and recovering in business. And part of those are also connecting passengers from Europe. So it’s in the point-to-point business where we are suffering the most. The rest of the traffics are pretty healthy at this stage.
Operator: The next question comes from the line of Sathish Sivakumar from Citigroup.
Sathish Sivakumar: I got two questions here. So on the employee cost, how should we think about going into Q2 and Q3, because you're still in the process of ramping up? Would it be similar to Q1 run rate? Or is it likely to be higher than what we are seeing right now? How does this actually impact the rollout of BA Euroflyer out of Gatwick in terms of the hiring challenges? And secondly on the Slide 15, where you show about the details a bit on recovery on premium and business segment. Just to clarify here. This data is actually adjusted for the 15% fuel premium seats that is available today versus, say, 2019 within your network. Slightly related to that, is that -- how does the load factor actually come back within this premium segment, say, versus 2019?
Nicholas Cadbury: Just on the employee costs. So the -- as I said earlier, just most of the ramp-up costs are in Q1. So there'll be a little bit of ramp-up costs overall. You naturally see employee costs go up in Q2 and Q3, mainly it's just staffing up for summer and then come down again in Q4, but that will be in a kind of a normal curve that we get.
Luis Gallego: Okay. And about Gatwick?
Sean Doyle: Yes. I think today at Gatwick, we're operating 10 planes of flying. We plan to get up to 18 by the end of June, and we're on track to deliver that. Gatwick is about at Euroflyer. As Luis mentioned, we are utilizing our blue passes to support the rebuild there. So Iberia Express will be operating for rent leases for the Gatwick operation. And as I said, I think the momentum we see on the leisure bookings is coming through in the forward bookings on the Gatwick Euroflyer business.
Nicholas Cadbury: Can you just clarify your last question? Just a...
Sathish Sivakumar: Yes. Sure. On the Slide 15, where you give the split between premium and business segments, right? So I just wanted to understand that data, whether that has been adjusted for the few premium seats that's available today. When you come pass 80% of premium traffic, it has actually recovered versus 2019. Is it factored in for the low premium seats that's available today because of the retirement?
Sean Doyle: I think the first thing is that, that's revenue. So I think it reflects a combination of loads and yield improvements. I think what we do see is, as you would say, that the certain load factors in those segments are very encouraging. And I think despite the fact that we have a cabin mix change, the overall net effect of the cabins we operate across British Airways is driving a positive yield outlook.
Nicholas Cadbury: Yes. And of course, this is only up to March where you saw the kind of real spike in the fuel prices happening in March.
Operator: The next question comes from the line of Jarrod Castle from UBS.
Jarrod Castle: Welcome, Nick, to IAG. Maybe first question for you, Nick. What are some of your priorities at the moment? And where do you think you can add the most value? I know you've kind of been there just for a few weeks, but just kind of some initial impressions would be interesting. And then just secondly, any update on ARO persons, the March convertible? And I guess also, we're getting the pension deficit number shortly. So is there anything in terms of housekeeping there?
Nicholas Cadbury: Good. Thanks, Jarrod. Yes, first, kind of first impressions, gosh, we'd go on for quite a while, but we've only got 20 minutes left. So just -- I mean, first of all, it's starting off with great brands overall, and it really shines through, and the fashion behind those brands from everyone, not just the management, but all the way down through the organization really and a kind of winning culture. Everyone really just wanting the company to win. So that really comes through. A strong transformation program, so I think a real understanding of what we need to do in the kind of face of high inflation that we're in at the moment and the fact that we're facing into the -- where we need to transform, not just in British Airways, but in every single organization that we're in as well. In terms of priorities, first of all, I guess, capital allocation, balance sheet management, I think, as you would imagine, would be kind of fairly high on my list of things to do as well, particularly, as I said earlier, it's getting that balance between how we spend our capital when there's such big opportunities, some efficiency and sustainable from new fleets and again versus the kind of deleveraging and the kind of dividend as well, as well as keeping our kind of cost of capital as low as possible as we go through over the next few years as well. And making sure that kind of the team around me have got the kind of the best insight that they possibly can, and -- as you and investors can see the real long-term growth for the business and the opportunities there.
Luis Gallego: Okay. About Air Europa, we are still waiting the waiver from ICO and from SEBI. At the moment, that we will have the waiver, then we will execute the loan. And the idea is when we have the approval from some of the competition authorities to convert that loan in equity, that we said that we can convert up to 20% in the company. So I think we are going to have the waiver soon. And after that, we consider that in less than 6 months, we can do the conversion in equity.
Jarrod Castle: Okay. And sorry, probably it turns out to be 3, but anything on pension?
Nicholas Cadbury: We're making good progress with our pension fund. So probably it's wrong for me to mention it at the moment, but we'll hopefully be able to update you in the next couple of months. So -- but good progress.
Operator: The next question comes from the line of Muneeba Kayani from Bank of America.
Muneeba Kayani: If I may go back to the balance sheet and the kind of CapEx leveraging. Firstly, by year-end then based on your guidance, do you expect leverage net debt to increase or remain  early days. But how are you thinking about needing new equity into that mix of CapEx deleveraging? And then secondly, if I can ask on the Loyalty performance. You said that's been strong. Kind of what's driving that? Is this sustainable? And strategically, how are you thinking about the Loyalty business?
Nicholas Cadbury: Yes. So just in terms of debt, what we said at the year-end, that gross net debt would increase through this year as we kind of ramp back up to our capital spend overall. And I think we've got kind of consensus are up, goes up from year-end to the full year by about kind of €600 million, €700 million over that year. So that's the kind of guidance we've given and where that is at the moment. You asked a question about, do we need to do a rights issue? I don't think so. We don't need the capital today. We've got good liquidity. And as I said earlier, when we recovered state, we've got very good cash generation overall. And just going back to the question that Stephen asked earlier. If you go back to 2017, '18, '19, we were hugely cash-generative and paying not only a dividend, but giving special dividends out as well. So I think that kind of maybe answered about, do you need to get to actual EBITDA to deleverage. Probably not, given the amount of special dividends we were giving as well. So I think it's not stopping us doing -- our balance sheet isn't doing it -- stopping at doing anything today. Having said that, as I said earlier, it is a good thing to deleverage over time. But it will take a little bit of time. But in terms of doing the rights issue, I don't think so. And we just don't need the capital today. As you can always expect, they will continue to review the market depending on what capital, what corporate activity, what corporate activities are around and looking at the state of the debt market as any company would do.
Luis Gallego: Okay. About the Loyalty, I'm sure Adam can add more color. But Q1 has been a record quarter for Loyalty. It was highest operating profit. It was around 60% higher than the Q1 of 2019. We had also a record in American Express remuneration within the quarter. We have a record in co-brand account acquisition. And we successfully launched the relationship with Qatar. That is an innovative relationship. And now we have over 70,000 accounts linked and working. So maybe, Adam, you can add something to this.
Adam Daniels: Yes. Just in terms of the sustainability. So the profitability or the majority of the profitability and the increase comes from our non-air partner relationships. And that’s where we’ve seen the biggest strength, particularly in financial services and in retail. So we’ve seen more customers sign up for these deals, and we see more customers move that points to Avios into the currency. So that’s really where we’re seeing the benefit, and we’re well above 2019 in those areas. So that’s really what’s driving of profit and the sustainability of that going forward.
Operator: The next question comes from the line of Ruxandra Haradau-Doser from Kepler Cheuvreux.
Ruxandra Haradau-Doser: Two questions, please. First, congratulations on the cargo performance in Q1. Given more value capacities, what is your expectation on cargo yields and performance over the Atlantic this summer? And second, a follow-up question to previous questions. Could you please give guidance on personnel costs in Spain for the remaining of the year, maybe relative to 2019? I understand that the job retention scheme in Spain ended in March.
Luis Gallego: About cargo. I think cargo, as you said, was one of the strongest performing areas of the business. They continue benefiting from supply chain disruption. And they have delivered the second best-ever revenue figure for the group and the highest ever quarter 1. And they have achieved this while they have a lower number of cargo flights because -- so we are applying more. We have net opportunities to sell cargo-only flights. The improvement has been mainly driven by yield. We are more than 20% above what we have in the first quarter of 2019. And the volumes are similar to the volumes that we have pre-pandemic. So I think it's a business that is continued working very well.
Sean Doyle: Just in terms of Spanish employment cost, I don't think we're going to give kind of granular detail like that. But if you want to help with the shape, maybe we can kind of have a call later. I would just point out, you mentioned kind of government support as well, but we have very limited government support in the quarter, which I know a lot of our European competitors had quite significant support in this call last quarter.
Marco Sansavini: Yes. Maybe just – this is Marco speaking. Just to give an additional information point. The air fare – so the special scheme for reduction of personnel costs supported by the Spanish government terminated at the end of February. Of course, we use in a limited manner that instrument at the beginning – in the Q1 versus last year because of the fact of the ramp-up, but it’s just to say that, that scheme terminated by the end of February.
Operator: The next question comes from the line of Andrew Lobbenberg from HSBC.
Andrew Lobbenberg: And Nicholas, a warm welcome to this industry. Clearly, the best industry in the world. I don't think you'll have far more fun than with Lenny Henry on the bed. Can I ask about the elephants in the room that everyone's dancing around? In terms of leverage, Nick, do you have a sort of particular metric that you look to in sort of judging leverage? Or will you do some kind of review going forward and come out with some balance sheet targets at some stage? And then my second question would be for Luis and would come back to Air Europa. Insofar as we've had very tough opposition from competition regulators so far about doing anything, what makes you think that you'll get the 20% over the line? And indeed, when you got the 20%, I think your aspiration is still to take full control. What do you think is going to change the competition authorities minds about that? And since everyone else seems to grab a cheeky third. Latin America, if you don't get Air Europa, or if you do, you don't have a partner down there. How will you manage? Because obviously, partners are very important on long haul.
Nicholas Cadbury: Yes. Thanks for the warm welcome, Andrew. Yes, it's a -- I'm sure it's going to be a great sector to join as well, although I didn't join my time with Lenny Henry as well. Just in terms of that leverage, as I said, we do want to delever over time. I think you gave me 2 options there, is do we want to -- do we have a target today or do we want to come back with a target? I'll take your latter one for that. I think I just need some time just to think about where we do get to. I mean every CFO wants to have investment-grade metrics that they aim to. So it's about just making sure I feel comfortable that's still -- that's right given the priority, given where we are. And I think the bigger question is the timing and what you get to get -- how quickly you get there overall -- in terms of you get to those metrics overall. But I would say that whilst we are deleveraging, that we will keep it as a priority, to keep that liquidity at a very good level as well to make sure that we kind of do what we want to in terms of investing, but also withstand the kind of volatility in the industry.
Luis Gallego: About Europa, the thing is we are dealing now with the competition authorities that we consider are necessary to have the 20% of the company. This is not going to be a very complex process, to be honest, because the level of overlap in the countries that we are working is not very high. So we are very confident that we will have that 20% of the company. And as you say, the objective is to arrive to the full control of the company because it’s the way to capture the synergies that the end is the objective of this deal, to develop a Madrid hub, to develop the opportunities for the customer, to have our network, et cetera. So it’s true that last December, competition authorities, they said that the remedies we were putting on the table were not enough to do this deal. But that’s something that with the new agreement and the new type of agreement that we need to develop still with Globalia. We want to have the flexibility to put the remedies on the table that can allow to do these deals. In case this deal doesn’t make sense for us, oftentimes, we have abandoned other deals in the group, we still have a partner in Latin America. And also, we can develop other opportunities. But to put an example right now, we have a joint business with LatAm in Peru and Ecuador. It’s working. And I think we can have more opportunities with them. We have an agreement for distribution with Avianca. So I think we are analyzing the different scenarios, although our base case is to do the Air Europa operation because we consider it the best option for the Madrid hub.
Operator: The next question comes from the line of Harry Gowers from JPMorgan.
Harry Gowers: I know we're running out of time, so I'll be quick. So I've got two quick ones. Just firstly, on the BA disruption costs. I think you called out €50 million for BA in Q1. So what sort of magnitude maybe should we be penciling in for Q2, if any? And maybe the second one, one for Nick, just on the CapEx. I mean, how do you plan on financing those aircraft for the rest of the year? So I mean if you're spending €3.9 billion gross CapEx. I mean, how much should we maybe expect on a net basis after sale and leasebacks?
Sean Doyle: Yes. Look, I think if we look at Q2, I made a point yesterday that over the last 3 weeks, we've seen a step change in our operational performance, and that's despite the fact that we're operating a bigger program in the second half of April than we were in March. And our scheduled completion is strong. And I think by taking the preemptive action that we have done over the coming months, we will continue to deliver operational performance, which supports where we want to be. So I think we are in a more resilient and a better place heading into the coming months that you would have seen in the first quarter.
Nicholas Cadbury: Yes. Just in terms of financing the aircraft, we’ve just financed some very successfully with an ETC in Iberia. So we’d use a mixture of, as you know, operating leases and finance leases across the business. We’ve kind of tendered, I think, towards 50-50. But – so we’re not going to give guidance to this specific year because we’ll take an opportunity for what’s the best rates in the marketplace and what markets are most accessible at the moment. So we’re going to give you guidance as we go through the year on that overall, but we will finance all the aircraft.
Operator: There are no further questions. I would now like to hand the conference over to your speaker, Luis Gallego, for closing remarks. Please go ahead.
Luis Gallego: Okay. So thank you very much, everybody. This is the last quarter that we are presenting a loss. So I think from now on, everything is going to be more positive. So I hope to see you soon. Thank you very much. Bye-bye.